Operator: Hello and welcome to the Textainer Group Holdings Limited second quarter 2010 earnings call. There will be an opportunity for you to ask questions at the end of today's presentation. (Operator Instructions) For your information, this conference is being recorded. I would now like to turn the conference over to Mr. Phil Brewer, executive vice president. Please begin.
Phil Brewer: Thank you and welcome to our second quarter 2010 earnings conference call. Joining me on this morning's call are John Maccarone, president and chief executive officer; Ernie Furtado, senior vice president and chief financial officer; and Robert Pedersen, executive vice president. Before I turn the call over to John and Ernie, I would like to point out that this conference call contains forward-looking statements within the meaning of US securities laws. These statements involve risks and uncertainties, are only predictions, and may differ materially from actual future events or results. It is possible that the company's future financial performance may differ from expectations due to a variety of factors. Any forward-looking statements made during this call are based on certain current assumptions and analysis made by the company in light of its experience and current perception of historical trends, conditions, expected future developments, and other factors it currently believes are appropriate. Any such statements are not a guarantee of future performance and actual results or developments may differ from those projected. Finally, the company's views, estimates, plans, and outlook as described within this call may change subsequent to this discussion. The company is under no obligation to modify or update any or all of the statements that are made herein despite any subsequent changes the company may make in its views, estimates, plans, or outlook for the future. For discussion of such risks and uncertainties, see the risk factors included in the company's annual report on Form 20-F for the year ended December 31st, 2009 filed with the Securities and Exchange Commission on March 17th, 2009. I would also like to point out that during this call we will discuss non-GAAP financial measures. These non-GAAP measures are not prepared in accordance with Generally Accepted Accounting Principles. A reconciliation of the non-GAAP financial measures to the most directly comparable GAAP measures will be provided either on this conference call or can be found at the company's August 12th, 2010 press release. I would now like to turn the call over to John.
John Maccarone: I'd like to start with slide three and welcome everyone to our second quarter 2010 earnings conference call. I'll begin today's call by reviewing Textainer's second quarter and year-to-date highlights as well as the current market overview and key business trends, and turn the call over to Ernie to discuss our financials and quarterly dividend. And finally, Phil will then discuss the resale business and our new securitization facility. At that point, we'll open it up for questions. Turning to slide four, Textainer posted solid result in the second quarter of 2010 as we continue to expand our industry leadership and capitalize on the positive fundamentals in the container leasing industry. For the three months ended June 30th, 2010, we generated net income of $25.1 million or $0.51 per diluted common share for the quarter. Excluding unrealized losses on interest rate swaps, net income was $29 million or $0.59 per diluted common share for the quarter. Based on our results, Textainer's board declared a second quarter dividend of $0.25 a share, which is an increase of 4.2% from our previous quarterly payout. Since our IPO in October 2007, we've increased our quarterly dividend payout a total of five times, including each of the past two quarters and declared cumulative dividend of $2.73 per share. The considerable success we've achieved during the second quarter and first six months of the year is directly related to the significant increase on our fleet utilization, which averaged 95.3% in Q2. On August 6, our fleet utilization reached an all-time high of 98.6%, which was an increase of approximately 10% compared to the end of 2009. We also maintained our focus on fleet expansion with acquisition of 198,000 TEU of new containers to be delivered through the end of 2010. Importantly, 90% of these new containers are owned by Textainer and owned containers are significantly more profitable than managed containers. By the end of this year, we will own about 50% of our total fleet, up from 45% at the beginning of the year. And finally, in support of our strong growth, we enhanced our financial flexibility by expanding and increasing our securitization facility to a total commitment of $750 billion over a two-year revolving period. Slide five is next, and some comments about the market. Our strong performance is positively influenced by the favorable industry fundamentals. Currently, cargo volumes are expected to grow about 10% in 2010 compared to 2009, which is considerably higher compared to initial projections of 5.5% for the year. One of the main drivers behind the improved market forecast is higher exports from the USA and EU countries. With more balanced trade, there were few empty containers – fewer empty containers returning back to Asia for immediate use. According to our customers, it now takes an additional two weeks for a container to be made available in Asia for another load of cargo. Also impacting the supply of containers is the increasing use of slow steaming and super-slow steaming among shipping lines. It is estimated that this trend requires about 5 to 7 percent more containers to carry the same amount of cargo. In addition, the lack of new production of standard dry freight containers last year combined with normal retiring of older containers led to the decline of approximately 4% in the world container fleet in 2009. This compares to an average 8% net growth per year from 2004 to 2008. For 2010, we expect limited output as Chinese container manufactures continue to ramp up production levels after shutting down plants last year. After losing most of their labor force, manufactures have been forced to hire and train new workers consisting of thousands of individuals. Consequently, it's estimated that total production capacity will only be about 1.9 million TEU in 2010 versus an average of 3.2 million TEU per year from 2004 through 2008. Moreover, shipping lines have been slow to recover following the extensive losses reporting in – reported in 2009, which totaled approximately $15 billion. While many companies continue to repair their balance sheets, they do not have the ability to purchase new containers. We believe container lessors will step in and supply approximately 70% of all new production in 2010 compared to less than 40% of all new containers from 2004 through 2008. As a result of these factors, we expect the worldwide shortage of containers to continue through 2010 and possibly into 2011. According to Nomura International, new container production will need to be 3.4 million TEU in 2011 and 3.7 million in 2012 in order to meet expected demands. In the second quarter, as shortages became critical, the situation complain – sorry, slide number six – turning to slide six, I want to illustrate the significant increases in our fleet utilization. As I mentioned earlier on the call, utilization reached a record high of 98.6% for the week ending August 6, 2010, after ending 2009 and the first quarter of 2010 with utilization of 88.6% and 91.8%, respectively. In addition, of the 9.7% increase in utilization during the first half of the year, 67% of this improvement occurred in the second quarter. As we expect to realize the full benefit of our high utilization beginning in the second half of the year, I'll note that every 1% improvement in utilization equates to approximately $4.4 million in pre-tax income on an annualized basis for Textainer. Turning to slide seven, I want to outline all of the pieces, including new containers leased out of the factory, in-fleet container, inventory reduction, and container sales during the first half of the year. Starting with new containers on the top line, as stated in our previous conference call, we purchased 70,670 TEU of new containers that were delivered in the first half. Of these new containers, 50,550 or 71.5% were delivered in the second quarter. So if we translate those into just raw container numbers, in the second quarter 35,177 containers were placed on lease compared to only 10,661 in the first quarter. So in the first half of the year, we put over 45,000 new containers on lease and we expect to fully recognize the revenue for these containers beginning in the third and fourth quarter of the year. Building on this success, we've ordered an additional 128,000 TEU of new containers for delivery in the second half of the year, many of which are already committed to long term leases. If these containers are picked up by our customers, we expect to further expand our contracted revenues stream. Now, a little bit further down the slide, we look at depot containers. These are containers that we already own that are in our fleet. And it's very interesting phenomena here. In the first quarter, we were able to reduce our off-lease inventory by 48,000 containers. This is a – reduction means containers that were leased out minus containers that were turned in. But among this reduction, only 2,000 of those containers were from locations outside of Asia. We worked with our customers on a trade off plan, asking them to pick up containers in lower demand locations in return for supply in high demand locations, mostly China. While we were able to get lower demand Asia location trade-offs, for example, customers would pick up a container in Singapore for a container in China, the market at that point did not support trade-offs outside of Asia. In the second quarter, the container shortage became critical. And the situation changed completely. We reduced our depot inventory by 90,000 containers in the second quarter. And as you see, of the 90,000, 50,000 were from Asia, but 40,000 were picked up outside of Asia in locations all over the world. So were able to achieve almost a one-to-one tradeoff. We did, however, help customers by defraying a small portion of their expense to move these 40,000 containers back to Asia. Then the last part of the slide, sold containers, and this is in three categories, containers that we owned, containers that we manage, and trading containers that we buy from shipping lines to sell for our own account. You'll notice that as utilization improved and customers stopped turning in even the very oldest containers, our sales volume declined very significantly on a quarter-to-quarter basis, including trading containers. Although secondhand container prices have improved dramatically during the year, lower unit sales have led to both long-haul overall gain on disposals and gain on trading. As long as utilization remains at current levels, we believe there will be fewer containers available for sale, even though residual values on our owned containers and gross margins on training containers are above peak levels of 2008. We expect net profit from our resale division to be somewhat lower in the third and fourth quarters, compared to second quarter level. In summary, we're very pleased with our year-to-date performance, and remain excited by our future prospects. Now, I turn the call over to Ernie.
Ernie Furtado: Thank you. Turning to slide eight, I'd like to take this opportunity to review our financial performance for the second quarter ended six months, ended June 30th, 2010. Total revenue for the second quarter of 2010 was $74.5 million, an increase of 37% from $54.4 million in the prior year period. For the six-month ended June 30th, 2010, total revenue was $143.7 million, compared to $114 million for the prior year comparable period, an increase of 26%. As John mentioned earlier, net income, excluding unrealized losses on interest rate swaps, was $29 million for the second quarter, which is an increase of $3.4 million or 13%, compared to $25.6 million for the prior year quarter. Net income, excluding unrealized losses on interest rate swaps net for the six-month ended June 30th, 2010 was $54.5 million, an increase of $9.1 million or 20%, compared to $45.4 million for the prior year comparable period. Income from operations for the second quarter was $41.4 million – $41.1 million, which is a 3% increase over the prior year quarter. And income from operations for six months year-to-date was $75.6 million, which is a 45% increase over the prior year period. One of the most important factors contributing to the recent success of Textainer has been the significant increase in utilization. Utilization for the second quarter of 2010 averaged 95.3%, compared to 86.9%in the second quarter of 2009. Utilization for the six months year-to-date has averaged 92.7%, compared to 88.7% for the six-month ended June 30th, 2009. The increase in utilization, along with an increase in the size of the owned container fleet, contributed to the increase on lease rents when – to about 28% in the second quarter, compared to the prior year quarter, and 14% for the comparable six-month period. One of our goals has been to increase the size of our owned container fleet, which we have been able to accomplish through the purchase of new containers during the first half of the year. The owned container fleet was 1.28 million TEU as of June 30, 2010, which represents a 13% increase, compared to June 30th, 2009. A portion of the total fleet that's owned by Textainer as of June 30th, 2010 was 46%, compared to 43% as of June 30th, 2009. This percentage will continue to increase going forward as we take deliveries of containers in the second half of 2010 that have already been ordered. Management fees increased 14% in the second quarter, compared to the prior year period due to a full quarter of fees for the Amplicon and Capital intermodal fleets as well as improved fleet performance. Management fees for the six months ended June 30th, 2010 increased by 12% compared to the prior year period for the same reasons. And in spite of the increase in the size of the owned container fleet, direct container expenses declined by 16% for the second quarter, compared to the prior year period. This is primarily a result of decreased storage expense as utilization has increased. Net gain on trading containers sold for the second quarter increased by $0.6 million or 374%, primarily due to a 107% increase in the number of units sold, compared to the prior year quarter. Net gain on trading containers sold for the six months year-to-date increased by $1.1 million or 273%, primarily due to a 125% increase in the number of units sold, compared to the prior year period. Gains on sales of containers for the second quarter increased by $4.5 million or 161%, primarily due to an increase in average proceeds per unit and a $2.4 million increase in the amount of gain on sale-type leases, compared to the prior year quarter. Gain from sales of containers for the six-month ended June 30th, 2010 increased by $11.5 million or 223%, due to a 34% increase in the number of units sold, and an increase in an average of proceeds per unit as well as a $7 million increase in the amount of gain from sale-type leases, compared to the prior year period. Depreciation expense increased for both the second quarter and the six-month period of 2010 due to the increased in fleet size. Bad debt expense decreased from an expense of $1.5 million in the second quarter of 2009 to recovery of $0.2 million in the second quarter of 2010, and from the expense of $2.2 million in the six months ended June 30th, 2009 to a recovery of $0.5 million in the six months ended June 30th, 2010, due to collections on accounts that had previously been included in the allowance for doubtful accounts and our assessment of financial conditions of our lessees and their ability to make the required payment has improved. EBITDA for the second quarter 2010 was $51.6 million, $1.1 million higher than the prior year quarter. And please note that the prior year quarter included a $16.3 million gain on early extinguishment of debt. EBITDA for the six months ended June 30th, 2010 was $97.3 million, $4.7 million higher than the prior year, which included a $19.4 million gain on early extinguishment of debt. Moving to slide nine, you will see that we have maintained a strong balance sheet during the second quarter of 2010. Of note, as of June 30th, 2010, our cash position was $59.1 million. Our total assets were $1.4 billion. And leverage remains at an attractive ratio of 1.1 to 1. Turning to slide 10, based on our strong financial results, significant contract coverage, and industry outlook, Textainer's dividend for the second quarter will increase by $0.01 per share or 4.2% to $0.25 per share. This will be our second consecutive quarterly increase. Since we went public in October 2007, we've increased our quarterly payout a total of five times and declared a cumulative dividend of $2.73 per share. Our second quarter 2010 dividend represents 42% of net income, excluding unrealized losses on interest rate swaps for the three-month ended June 30th, 2010. Dividends have averaged 48% of net income, excluding unrealized gains or losses on interest rate swap net since the IPO, enabling the company to retain capital for growth. We have paid dividends for 21 consecutive years. And it's an important part of the total return that Textainer provides for its shareholders. Historically, Textainer has paid about 50% of net income, excluding unrealized gains or losses on interest rate swaps, in dividends. But the Board takes a fresh view every quarter and sets the dividend subject to cash needs for opportunities that maybe available to us. We are pleased with our second quarter results. And now, I'll turn it over to Phil.
Phil Brewer: Thanks, Ernie. I will talk about the container resale business for the quarter. But first, I would like to discuss the successful refinancing of Textainer Marine Containers Limited, a $475 million warehouse facility. As I believe you know, Textainer Marine Containers Limited, TMCL, is Textainer's primary asset owning subsidiary. TMCL increased the size of its warehouse facility from $475 million to $750 million, and extended the maturities of the revolving period until 2012. As before, this business facility is not refinanced prior to its maturity. It'll amortize over a period expected to be 10 years, but not to exceed 15 years. This just rates the facility of 2.75% over LIBOR during the initial two-year revolving period. The facility was syndicated among nine banks, four of which were participants in the previous facility, and five of which were new lenders to TMCL. We believe the success of this transaction underscores Textainer's leadership position in the industry and demonstrates the participating banks strong confidence in and commitment to Textainer. This facility complements Textainer Limited's $205 million bank revolver, which matures in 2013. The almost $1 billion of capacity represented by these two facilities solidifies our ability to continue to grow, both organically and through acquisitions as we have done in the past. Regarding container sales, I mentioned during the last earnings call that container sales during the first quarter were running at a rate of more than $100,000 per year, but we expected this rate to decline as the year progresses. That is exactly what has happened. Sales have slowed to a rate of approximately $80,000 per year. We expect the rate of container sales to continue to slow through the third quarter. The very high demand for these containers have caused, one, fewer containers to be put to disposal; two, shipping lines decreased the sales of owned containers; and three, shipping lines to continue to operate containers purchased from them by a purchase-leaseback transaction. As a result, we expect to sell 20% to 25% pure containers in 2010 and in 2009. Used container prices have increased by 25% to 35% since the beginning of the year, and by 35% to 45%, since sales prices reached their lowest point one year ago. Prices continue to be highest in Asia, although price increases in certain Northern European and North and South American locations has been significant. There's some uncertainty regarding where used container prices will go from here. Many say they've reached a high or either remain at this level or decline somewhat over the remainder of the year. That concludes our opening remarks. I would now like to open the call for questions.
Operator: Thank you. (Operator Instructions) Our first question comes from Justin Yagerman with Deutsche Bank.
Rob Salmon – Deutsche Bank: Hi. Good morning, guys. This is Rob Salmon on for Justin.
Phil Brewer: Hi. How are you?
Rob Salmon – Deutsche Bank: Good. Thanks. In your prepared remarks you guys had alluded to some of the issues facing container manufactures currently. We've been hearing reports that the container manufacturers have been having trouble increasing production recently. Do you guys think the manufacturer would be able enough containers to satisfy container demand industry-wide this year. Or do you think we're going to see some slippage in the next year?
Phil Brewer: Well, it certainly didn't have – not competitively to produce sufficient containers for the industry this year. However, throughout the year, they have ramped up production output. And while they have not gone up to two ships in most locations, they have worked extended hours and extended days throughout the week. So the output has gradually increased throughout the year. One of the reasons for that is – it's just there have been extreme shortage of labor – qualified labor. And while the manufacturers are generally trying to hire laborers from around China to come to the main production locations, they have not been successful as they would have liked.
Rob Salmon – Deutsche Bank: Got you. That's very helpful. We've seen a lot of vessels coming out of storage recently and reentering the active containership population over the past several months. Can you give us a sense if the containership lines are planning to make any adjustments to their use of slow steaming given the recent increased demand?
John Maccarone: Well, Rob, from everything I read, they are saying that slow steaming is here to stay. And I really can't comment beyond what we're reading.
Phil Brewer: No, I think I will support what John was saying. That is one of the reasons you have seen so many of the laid out vessels come out – come back into service. That is because for the (inaudible) that were already in service, they want to continue to use slow steaming or super steaming.
Rob Salmon – Deutsche Bank: No, that's generally in line with what we've been hearing in the marketplace as well. I just wanted to see if you guys are seeing any shifts in intonation [ph] given the continued strong demand we've been seeing in the marketplace. Shifting gears a little bit before I turn it over to someone else, can you guys talk a little bit on the strategic standpoint? You guys had mentioned that you're looking to grow both organically and the acquisitions. Obviously, organically, you guys have got some very strong container orders for the rest of the year. Can you give us a sense of what types of opportunities you're seeing in the M&A side of things?
John Maccarone: Yes. That's an easy one, zero. There really are – there's really nothing out there that we see at the moment.
Phil Brewer: Although I just would – this is Phil. I just like to add that we are always looking. So I think we've gone through this before on this calls. But clearly, when opportunities arise, we take that then.
Rob Salmon – Deutsche Bank: And would it be fair to assume that you guys prefer to have an ownership deal as opposed to managed deal?
Phil Brewer: Yes.
Rob Salmon – Deutsche Bank: All right, guys. I really appreciate the time.
John Maccarone: Thank you.
Operator: Our next question comes from Robert Napoli with Piper Jaffray.
Robert Napoli – Piper Jaffray: Thank you. Good morning, and nice job. What are the things – I don't think I'm aware of an industry today that is in better fundamental shape than the container leasing industry. However–
Phil Brewer: Don't jinx that.
Robert Napoli – Piper Jaffray: There's the however, I guess. We have seen, obviously looking at our stock markets, some concerns about the US economy, the job market, and I think a little bit on the global economy, more slow down in China. You boarded a lot of containers. In your business, I would think of the container shipments as being somewhat of a lagging indicator. And maybe even a little bit more lagging than usual in some regards because of slow steaming. The equipment that's being – or the stuff that's being shipped was ordered a month ago. And the world has changed. The sales aren't – retail sales aren't as strong as people thought. What are your concerns as far as looking at your business as somewhat of a lagging indicator having a lot of equipment on order? And what do you look forward to say that the great times that you have now might be – that there's risk of that, the moderating, and you need to be ready for it?
John Maccarone: Well, I guess would make a couple of comments. We read the same thing. We're seeing, potentially, a slight slowdown. We have to keep in mind that the trade to North America represents only about less than 18% of total world container trade. So it's not – it's not totally centered on North America. But of the equipment we've ordered, a very, very large portion of the deliveries in the second half is already permitted to really good quality leases. The worst thing that can happen is we end up with some containers left over. And we'll be ready for the pre-Chinese New Year typical rush that starts in the first couple of months. So we're not really concerned. Frankly, if anything, I would see that we may have a potential to order even more equipment between now and the end of the year.
Robert Napoli – Piper Jaffray: Okay. And what percentage, John, are committed – a bit of containers have committed orders long term?
John Maccarone: Well, on the second half orders, well in excess of 50% of those are committed, well in excess.
Robert Napoli – Piper Jaffray: And then on the pricing side, what are the – your revenue yield, we're looking at a lease revenue yield, which jumped up very nicely in the second quarter you would expect with utilization picking up. But it's still nowhere near the level of yield that you had several years ago. What are you seeing on the pricing front? And obviously, your yield should go up in the third quarter as utilization at 98% plus. But what are you seeing on the pricing front? How much?
John Maccarone: Pricing, Robert will address that.
Robert Napoli – Piper Jaffray: Okay.
Robert Pederson: Well, concerning all the new containers in pricing and what we're trading the containers and the particular opportunities. So there, we've seen rates continue to increase to – certainly through September deliveries. And on the depot inventory, obviously, that's the – for the modular leases, we've seen significant increases, be it the container we have in the depots that we lease out to various customers. It's been a little bit slower on the containers that were already in hire. We have a very large pipe – long term lease ratio. A lot of those containers are in cities in a limbo stage right now. Some contracts that had expired are in the build-up period, but the build-up period could be extended. And we don't really have the lease – the right to change or to improve range during that period. We will then see what happens thereafter, so most of our rate increases have come from indirect – from the modular lease side. Some increases for contract rates are here and now. And as I've said, a lot of containers are somewhat in limbo. What we've seen on the pricing side and the rate side for a longer period, we've actually put a lot of emphasis on trying to excavate our containers in what we call black spots, meaning locations where we are typically not able to lease out under regular terms. We were able to do so in this upturn. We've also pushed extended terms. So that rather than supply a container out of Los Angeles or rather than at short term lease terms, we think in the long term, these terms for many of those containers, which leads to get revenue potentially to come forward.
Robert Napoli – Piper Jaffray: Great. And on the expense side, your expenses of – your expense ratios have improved pretty radically. Do you still – I mean, with the growth that you're having – the operating, you can still continue to feel that your expense growth is going to be the much lower than your asset growth. And have you – are you done – have you seen all the improvements in the storage costs that you can see at this point?
Phil Brewer: The storage in the third quarter, utilization lease was higher again in the third quarter than it was in the second quarter. Worldwide cases, we have paid about $0.40 per TEU stored empty containers. So that's the – that would be the result, having lower direct costs in the third quarter than we did in the second quarter.
Robert Napoli – Piper Jaffray: And as far as your operating leverage in your business?
Phil Brewer: From headcounts?
Robert Napoli – Piper Jaffray: Yes. And you're going to be – you're getting some pretty strong asset growth. How much operating leverage? If you look at your margins that we expect are your sustainable operating margins, it should be going up as the company grows. How do you think about the operating leverage that you have? How many people do you need to add as you're adding several hundred thousand containers?
John Maccarone: Very few because all of these are going on long term lease. We don't have a lot of – I think we've added about three net headcount so far this year.
Robert Napoli – Piper Jaffray: Three. Now, that's good operating leverage. Thank you. And last question, just on – just you guys gave a little bit of color on the gain on sale lines and the equipment trade. But it's so – you had $10 million between gain on sale and equipment trading. The equipment trading assets I think were down close to zero. Is half that level a normal level if there is a normal level? But if you were us and you were modeling that, which is cut in half in future periods?
Phil Brewer: This is Phil. I think over the remainder of the year, I just feel that there's going to be very, very few trading containers sold. Of the trading deals that we have on the bush, we have received virtually all of the containers that were expected to be delivered under those transactions have already been delivered. I'm not aware of any active transactions in the market that we're bidding on. So the trading container business will slow to a very slow trickle over the remainder of the year.
Robert Napoli – Piper Jaffray: Okay. And the gain on sale remainder getting more per container, you're selling a lot less containers.
Phil Brewer: Yes, that's true. As I noted in my opening comment, there are those who think that both new container prices and used container prices will moderate somewhat over the remainder of the year, which would mean that, again on sales, it's going to decline somewhat. But I now – we may be able to expect used container prices to decline dramatically.
Robert Napoli – Piper Jaffray: Thank you.
Operator: Our next question comes from Sameer Gokhale of Keefe, Bruyette.
Sameer Gokhale – Keefe, Bruyette: Thank you. Can you just remind me or go over the end of TEU that you had at the end of Q2?
Phil Brewer: Yes. The total TEU were about $2.2 million, of which a little bit over $1 million were owned in our fleet.
Sameer Gokhale – Keefe, Bruyette: Okay. And then, as far as the purchases, the $128,000 TEU that you've ordered for the remainder of the year, what's the breakdown between Q3 and Q4 delivery, just to help us at the modeling of those?
John Maccarone: Q3 is probably about 60% to 65% of the total of the second half.
Sameer Gokhale – Keefe, Bruyette: Okay. That's helpful. And then on the tax rate, I noticed that it was a little bit higher, I think around 8.5% or so. And I think, Ernie, you had mentioned that you expect it longer term actually to be going forward 4% to 6%. Was anything unusual going on there? Should we be modeling 8% going forward? How should we think about that?
Ernie Furtado: You can have fluctuations within the quarter depending on the timing of certain tax items. I think for the full year, it won't be that high. So I think it's somewhere around 6% is probably a good number.
Sameer Gokhale – Keefe, Bruyette: Okay. And then, just to touch on compensation expense and how you're thinking about it, obviously, there's operating leverage here. And you, like other companies, are benefiting from some very strong dynamics in the business. But when you think about compensation for employees, how do you segregate the – just the general benefit you're receiving from the macroeconomic trends and what's going on with your container leasing sector as opposed to performance-based incentives. You often see companies are experiencing strong or favorable fundamentals, and then they raise compensation a lot. And then, they cut it a lot when things are going on downturn. I mean, how you are thinking about compensation at this point in time? How do you approach that?
John Maccarone: This is John Maccarone. We have an incentive base where there's a comp. And that typically is geared on performance and cost of living allowance. And then, there is a short term set of plans or bonus scheme that is based on a percentage of an individual's base compensation. And that bonus can be a significant part in a good year like we're having now. I think you may be driving at – are we increasing our total compensation in a good year, which we may come to regret when things slow down? And the answer is we're not doing that. The variable part of the compensation is designed to reward everyone for a good year like this, but not raise the overall costs on a permanent basis, if that's what you were asking.
Sameer Gokhale – Keefe, Bruyette: Yes. That's what I was asking about because you often – I just wanted to get your perspective. We often see companies that they overpay employees when things are going good, not because of – they're showing good performance, it's just because the industry is experiencing fundamental favorable dynamics. And then when things turn for the worse, you see a large cut in expenses. And I was just wondering, just to get – could you tell us – just to give your perspective as to how you think about that. So that's very helpful.
Phil Brewer: I mean, we have (inaudible) on those numbers. We reported that as a separate line item in our income statement. It's shown as short term. And it's a compensation expense. So you when you look at the income statement, you'll see that reported separately from the rates or G&A expense. And you can see it higher this year as you would expect in what will be – what has been a very good year, and was much slower last year when things were not as good.
Sameer Gokhale – Keefe, Bruyette: Yes. Okay. Thank you. The other question I had was – and you spoke this a little bit, but I mean we've been talking about the – or hearing about the fears about Asia and just what's going on there. And you've referenced the balanced trade – that we're seeing more balanced trade due to the increased shipments it seems from Europe and North America or the US in particular. And I was wondering – I mean, when you look at the trade flows and what's going on there, and then you read the headlines in the newspaper talking about weaker – weakness in China people are worried about. Is there a disconnect here that everyone's missing? Aside from just the issue of the shortage of containers, is there really a disconnect? Are you seeing any specific trends for shipments – increased shipments from the Europe and the US to Asia, or between the US and Europe that everyone's missing here? Can you read or give us more color into that?
John Maccarone: Well, I think there was an article in the Wall Street Journal just the other day. German exports have rebounded completely. And what you're looking at is in the BRICK countries and some of the other parts of the world, you're seeing an increased consumer class. And people in China and other countries are now consuming more products produced in Europe and North America. President Obama's goal of doubling US exports in five years, he's – I think he's on to something there. We really should have the ability to improve our exports because there are more consumers in other parts of the world looking to buy our products and products from Europe.
Sameer Gokhale – Keefe, Bruyette: Okay. Well, thanks guys. Thanks for the color.
Operator: I'm not showing any other questions in the queue.
John Maccarone: Okay. Well then, I guess we'll end the call and thank all of you for participating. And we look forward to talking to you again soon.